Operator: Welcome to the OneStream’s Fourth Quarter Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s program is being recorded. And now, I’d like to introduce your host for today’s program. Annie Leschin, Vice President of Investor Relations and Strategic Finance. Please go ahead, ma’am.
Annie Leschin: Thank you, Operator. Good afternoon, everyone. Welcome to OneStream fourth quarter and full year 2024 earnings conference call. Joining me on the call today is our Co-Founder and CEO, Tom Shea; and our CFO, Bill Koefoed. The press release announcing our fourth quarter and full year 2024 results issued earlier today is posted on our Investor Relations website at investor.onestream.com along with an earnings presentation. Now let me remind everyone that some of the statements on today’s call are forward-looking, including statements related to guidance for the first quarter ending March 31, 2025 and year ending December 31, 2025. Forward-looking statements are subject to known and unknown risks, uncertainties, assumptions and other factors. Some of these risks are described in greater detail in the documents we file with the SEC from time-to-time, including our quarterly report on Form 10-Q for the quarter ended September 30, 2024, which we filed with the SEC on November 7, 2024. We undertake no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During our call today we will also reference certain non-GAAP financial measures. There are limitations to our non-GAAP measures, and they may not be comparable to similarly titled measures of other companies. The non-GAAP measures referenced on today’s call should not be considered in isolation from or as a substitute for their most directly comparable GAAP measures. Our management believes that our non-GAAP measures provide meaningful supplemental information regarding our performance and liquidity by excluding certain expenses that may not be indicative of our ongoing core operating performance. Reconciliations of our non-GAAP measures to the most directly comparable GAAP measures can be found in this afternoon’s press release and the earnings highlights presentation posted on our Investor Relations website. Before I turn it over to Tom, we just wanted to let you know that we will be attending Morgan Stanley’s Technology, Media & Telecom Conference on March 4, 2025. A live stream and replay of our presentation at the conference will be made available on our Investor Relations website. Now, I’ll turn it over to Tom.
Tom Shea: Welcome everyone and thank you for joining us today. I’m going to touch on our results, what we’re seeing in the market and provide our outlook for 2025. 2024 was a milestone year that ended with a solid fourth quarter performance with 29% year-over-year revenue growth and strong cash flow. This was a testament to the strength of the OneStream platform and our incredible innovation engine, including our Finance AI portfolio. Reflecting the significant business value we provide to our customers. Our solid finish once again demonstrates resilience in a year that presented new opportunities and challenges. A combination of events, including the U.S. election, the ongoing geopolitical climate and the sudden strength of the U.S. dollar affected our business at year end. First, macro uncertainty around tariffs, regulations and reporting requirements impacted two of our primary markets, large multinational companies and the public sector. This caused additional deal scrutiny and push some deals into the new year. The vast majority of which have closed, including a significant public sector deal. Second, the significant change in foreign exchange rates also impacted some of our financial metrics in the quarter, as Bill will talk about shortly. And third, even with this, we reported solid results and are excited about the momentum of two important areas of focus, the Commercial sector and Finance AI. Overall, despite the near-term headwinds demand for OneStream remain strong and we are optimistic heading into the year and remain confident in our long-term opportunity. Now, let me give you some highlights from 2024, which was one of the most transformative years in OneStream’s history. We grew total revenue 31% year-over-year driven primarily by strong subscription revenue growth of 41% year-over-year. We were free cash flow positive in 2024, generating $59 million during the year. While also achieving non-GAAP operating profitability. We once again reported 98% gross retention this year. Reinforcing the value and stickiness of our platform, which is the bedrock of our company. Yet our strong financial results were only part of the story. We introduced 12 new innovations at our U.S. Splash User Conference in May and another three at our European Splash User Conference in September. Unlocking additional utility and value for customers. Creating more on ramps to the OneStream platform and providing more expansion opportunity in the installed base. More recently at sales kickoff in January, we rolled out our solution-based packaging that is aligned to how the market wants to buy, supporting the value the customers derive from our offerings and simplifying initial expansion sales for OneStream and our partner ecosystem. We quadruple bookings and the number of customers using our Finance AI solution, including Sensible Machine Learning. For the third consecutive year, we were recognized as a leader in Gartner’s Magic Quadrant for Financial Planning Software and a leader in IDC’s Worldwide Office of the CFO Record to Report Vendor Assessment. And just last month, OneStream was named the Leader in Business Planning by ISG, formerly Ventana Research. Illustrating the power of our platform to support more operational processes and needs. And finally, we completed a successful IPO and secondary offering in the second half of the year. All of this speaks to the market trends that are driving the need to modernize Finance. Three trends underpin our business and further reinforce the confidence we have in OneStream’s long-term opportunity. Number one, the digital transformation of Finance. The CFO has recognized the need for a unified cloud-based platform to provide a single view of financial and operational data across the enterprise. This trend was reinforced by our Finance 2035 Initiative study, which found that more than three quarters of CEOs and CFOs are prioritizing the need for a unified single source of truth for corporate data as essential for future business success. Number two, the expanding scope of the CFO transitioning from reporting on past business results to driving real strategic value and becoming an embedded partner to the business. And number three, the growing need for applied AI and ML solutions to advance finances impact and ability to plan faster, forecast with greater accuracy and empower every employee to make quicker, more informed decisions. These trends continue to drive our platform development and inform our new product roadmap. The breadth and depth of our platform is truly comprehensive and unique in the industry, enabling customers to unify financial and operational data and reporting on one common data model, accelerate and improve planning, forecasting and decision-making with AI solutions purpose-built for Finance and extend the platform to address new use cases as their needs evolve without adding technical debt. OneStream has a real competitive advantage allowing us to meet the data, analytics and processing needs of even the most complex environments at scale. I’m really excited about the progress that we made in 2024, which I believe was the most innovative year in our history. Our new offerings include centralized report assembly and data gathering with advanced narrative reporting. Delivering rich financial data to a broader set of users with our Certified Microsoft Power BI Connector. Improvement and implementation time and project success with CPM Express. Providing customers with the ability to do ESG Reporting on the OneStream platform. Elevating and empowering sales planning with a fully integrated Sales Performance Management solution built on top of the OneStream platform. And overarching all of this is our industry-leading Finance AI solutions purpose-built for the office of the CFO. We had a positive initial reception in the market for these new offerings, which combined with our updated pricing and packaging reflect the incredible value we are delivering to customers. Let me provide some details on a couple of these important new initiatives. CPM Express is a prepackaged version of our core CPM capabilities that enable significantly faster implementation and time to value. This solution comes with pre-built functionality, predefined reports and guided configuration. It simplifies core activities and speeds up processes across Finance with customers fully up and running on core financial planning, reporting and close in six weeks to eight weeks. All for a predictable cost. We expect CPM Express to drive new core platform customer growth globally going forward. Another area of innovation we’ve talked about is ESG. This has become a critical need for multinational organizations, particularly in Europe. These companies must account not only for their own operations, but for their entire value chains. To do this, they need accurate and complete information to align ESG Reporting with the rest of their reporting and planning. Given OneStream’s role as the core book of record, we are well positioned to help CFOs meet ESG Reporting requirements. Additionally, we plan to enhance this offering to be even more robust by launching new elements in 2025. Turning to our Finance AI portfolio, you’ve heard us talk a lot about our Sensible Machine Learning product, otherwise known as AI-Driven Forecasting. In 2024, SML offered customers the potential to revolutionize planning and forecasting, delivering significant value to early adopters, ranging from Fortune 500 manufacturers, retailers and banks to mid-sized services firms. By harnessing the power of SML, customers, on average, have reported initial forecast accuracy improvements of over 20%, while speeding forecast cycles by more than 80%. This allows customers to fundamentally rethink their planning approach, enabling them to plan at higher frequency with higher accuracy and adapt to changing market dynamics to maximize profits. Customers have reported that these outcomes have consistently outperformed custom data science projects, crediting our applied Finance AI approach and the ability to leverage our proprietary financial formulas and platform capabilities. SML’s ability to adapt to dynamic business conditions and macroeconomic factors while providing insights into their impact has established it as a transformative solution for businesses. OneStream’s AI accelerates time to value, enhances forecast accuracy and improves efficiency while offering the transparency and explainability needed for end-user trust and adoption. We believe our combined enhancements are poised to further strengthen our competitive edge and drive growth in 2025. We had a number of important wins in the fourth quarter with enterprise and commercial customers across a wide array of geographies and verticals. We added three new major banks, including a leading investment bank and financial services company. We landed our first customer in Brazil, a global multi-billion-dollar consumer products company. We had another takeaway at one of the largest legacy installations in Sweden, which is transitioning to OneStream to support its FP&A, Tax Pillar2 and ESG Reporting for its multi-billion-dollar global business. We currently have over 40 customers leveraging the OneStream platform for their ESG Reporting. And we have additional product enhancements coming in 2025 to offer even more value to customers. And we saw continued growth in our public sector and education business, including a win with a well-known higher education institution in the Southeast. Speaking of the public sector, I’m thrilled to announce that effective January 25th, the OneStream platform has received FedRAMP High authorization, the highest level of security standards by the federal government. This significant milestone, in addition to our Department of Defense Impact Level 5 Certification, enables us to work with all levels of state, local and federal agencies, including those who handle the most sensitive, mission critical and highly classified data. It is a long road to these certifications, requiring considerable investment, engineering and operating cycles, as well as close coordination with government agencies and officials. We continue to land many great customers, each with unique needs and drivers, both immediate and long-term. Let me just dive into a bit more detail on a few that stood out in the fourth quarter. We added a leading investment bank and financial services company to our customer list. Now, unlike other banks, they have separate financial systems for each division, severely limiting the view of their overall financials. They plan to use OneStream for consolidation of their multiple businesses in order to have a single, unified and more accurate view of the entire organization. This will unify their data across various queues and relational data storage for more accurate reporting, planning and analysis on operational and financial data at every level of the organization. We also had the first sale of our Sales Performance Management product that was built on the OneStream platform by Infinity SPM, an independent software vendor. An existing OneStream customer, Generac, is a large, acquisitive company using OneStream for consolidation, planning, profitability and account reconciliations. The quality and visibility of the data on our single unified platform with a robust dashboard has been game-changing for Generac, saving as much as two and a half weeks for each forecast. This helps create a seamless process that allows them to do dynamic forecasting, compare scenarios and have better visibility into how the business is doing. This success played a pivotal role in their decision to adopt and deploy Infinity’s integrated SPM as a natural extension of the platform. With SPM, they are now able to have consistent sales territory management and improve the efficiency of their incentive compensation and dispute resolution processes. We signed a multiyear deal with a large multinational manufacturer specializing in display, environmental and other technologies. Several years in the making, this customer was a long-time legacy system user that had been migrating to a global footprint. In need of a modern CPM system, the company was impressed by the depth of OneStream’s capabilities and the fact that we do so much on a single platform, including multiple solutions for tax reporting, ESG, SML and account reconciliation. This was crucial in their ability to see the value of our platform while simultaneously reducing their technical debt. Beginning with nearly 900 users and replacing two large systems, Phase 1 will focus on consolidations, account reconciliations and financial reporting. From there, Phase 2 looks to move on to planning and forecasting. Finally, I’d like to share how OneStream’s SML solution is transforming forecasting for a global leader in technology distribution. This customer operates across multiple countries and business lines, providing their customers with cutting-edge technologies from cloud providers and device manufacturers. Their prior forecasting process was complex, time-consuming and often biased. They first used the OneStream platform for consolidation, close and planning. They elected to expand with SML to ensure higher accuracy in their forecasting and to reduce their cost to serve. We helped this customer harness the power of their internal data while incorporating external drivers and leading indicators to produce a 52-week revenue forecast. With SML, they achieved over 90% forecast accuracy, which is a 15% reduction in forecast error. They reduced their effort in producing this forecast by over 75%. The data-driven precision of the SML forecast removed bias at the country level and gave management the confidence to make faster, smarter decisions across each line of business. What sets SML apart is its ability to seamlessly integrate machine learning into financial processes without introducing technical complexity. It empowers Finance teams to focus on insights and decision making to steer the business, rather than spending countless hours wrestling with data to develop suboptimal forecasts. What I know from experience is what resonates with customers. Our 98% gross retention is at the heart of OneStream’s continued success and a key component of our growth. We enter 2025 excited about our multi-product strategy. We are bringing to market our 15 new innovations announced last year, along with our new pricing and packaging, to enable customers to derive the greatest value from our platform. We’re excited about the early demand we’ve seen for CPM Express and our infinitely extensible Solutions Exchange with applications like SPM. In addition, we continue to differentiate our Finance AI portfolio and build out new products including our AI library and GenAI. By adding these multiple levers of growth, we are effectively executing against our strategy to become the operating system for modern Finance. And finally, I want to send a heartfelt thank you to our dedicated, hard-working employees around the world for their tireless efforts in making all of this possible. Now let me turn the call over to Bill for the financials.
Bill Koefoed: Thanks Tom. Good afternoon everyone and thank you for joining today’s call. As Tom mentioned, we had a solid Q4 with both strong revenue growth and free cash flow, capping an impressive year. I’d like to start today with some commentary on our 2024 results and then dive into Q4 and end with our guidance for Q1 and 2025. Before I begin, it is important to note that 32% of our business is international and we bill most of our international customers annually in local currency and convert to U.S. dollar for revenue recognition. The sudden strengthening of the U.S. dollar by roughly 6% from September 30th to December 31st negatively impacted some of our financial growth metrics by approximately 2%. These include ARR, RPO and Q4 billings. Let’s start with some key 2024 accomplishments. We surpassed $500 million in ARR to end the year at $568 million. We grew revenue 31% year-over year to $489 million, subscription revenue 41% to $428 million and international revenue 38% to $155 million. We increased RPO to greater than $1 billion. We achieved non-GAAP operating profitability. And we generated $59 million of free cash flow, which represents 12% free cash flow margin. Turning to the fourth quarter, we grew total revenue 29% year-over-year to $132 million. Subscription revenue increased 35% year-over-year to $119 million and license revenue came in at $7 million for the quarter. We continued to see strong conversions from term licenses to SaaS in the quarter and we expect that trend to continue into 2025 as we progress toward 100% SaaS business model. Professional Services and Other revenue was $7 million in the quarter. As we continue to transition more implementations of OneStream software to our partners, we expect Professional Services to remain at a similar run-rate going forward. This quarter, international revenue grew 49% year-over-year to $46 million. We’re thrilled with the progress we’ve made with our international business, representing 32% of our total revenue in 2024. For the year, we saw over 60% of our business come from new customers and we ended the year with 1,601 total customers, up 15% year-over-year. We continue to retain and expand our base of existing customers, with 98% gross retention and 113% net dollar retention. Billings grew to a record of $167 million in the fourth quarter, up 18% year-over-year and 24% on a trailing 12-month basis. Our 12-month cRPO was up 36% year-over-year and our total RPO increased 23% year-over-year to $1.1 billion. As noted, Q4 billings, cRPO and RPO were negatively impacted by FX. Our Q4 non-GAAP gross margin was 70%, consistent with last year and non-GAAP software gross margin was 76%, compared with 78% last year due to license mix versus the prior year. We continue to work to optimize our infrastructure costs and expect margin improvement over the long-term. Fourth quarter non-GAAP operating expenses increased 19% year-over-year, primarily due to higher R&D spending, as we continue innovating on our core platform and Finance AI solutions for the opportunities we see ahead. Non-GAAP operating income was $9 million or 7% operating margin in the quarter. For the full year non-GAAP operating income was $1 million. We were non-GAAP profitable for the quarter with net income of $12 million and non-GAAP earnings per share were $0.07. For the full year, non-GAAP net income was $14 million and non-GAAP earnings per share were $0.14. Total equity-based compensation expense for the fourth quarter was $53 million and for the full year equity-based compensation expense was $316 million. For the fourth quarter we generated $25 million of free cash flow, bringing our fiscal year at -- our fiscal year 2024 free cash flow to $59 million. We ended the year with $544 million of cash and cash equivalents. In summary, we delivered on our key objectives for 2024, achieving strong top and bottomline results, while continuing to invest for the future. Customers continue to choose the OneStream platform to provide a unified view of financial and operational data with analytical, AI and performance management capabilities. Now let me move on to guidance and review the key factors driving our outlook. We remain enthusiastic about our market opportunity and expect strong subscription revenue growth, while launching new products to the market and generating robust cash flow. Importantly, our strong 98% gross retention continues to drive compounding growth, highlighting our continued investment in customer success. As we discussed last quarter, we continued to see strong SaaS conversion rates in the fourth quarter. While this is a near-term headwind for the license component of total revenue, it is a focus for the long-term success of our company. Also, as a reminder, we expect our Professional Services revenue to be roughly flat going into 2025. We expect subscription revenue growth to outpace total revenue growth. The continued strength of the U.S. dollar, 6% higher than Q3, coupled with roughly 32% of revenue coming from our international business, which is transacted predominantly in foreign currency is impacting our outlook for 2025. With that, our guidance for fiscal year 2025 is, total revenue is expected to be $583 million to $587 million, non-GAAP operating margin is expected to be minus 1% to plus 1%, non-GAAP earnings per share is expected to be between $0.01 to $0.09, equity-based compensation will be approximately $125 million to $135 million. Guidance for Q1 2025 is as follows, total revenue for Q1 is expected to be $130 million to $132 million, non-GAAP operating margin is expected to be minus 9% to minus 7%, non-GAAP earnings per share is expected to be between minus $0.04 to minus $0.02, equity-based compensation of approximately $45 million to $50 million. In closing, the strength of our core CPM business and new innovations, wrapped in more streamlined pricing and packaging, is driving new on-ramps to the OneStream platform and enabling our ability to drive efficient growth. We are pleased with our 2024 results and excited about the opportunities ahead in 2025. Now let’s turn it over to the Operator.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of John DiFucci from Guggenheim Securities. Your question, please.
John DiFucci: Hi. Thanks for taking my question. So I actually have one for Tom. Did he say limit yourself to one question and one follow-up? I want to be respectful to you guys or just one question.
Tom Shea: We said one question.
John DiFucci: Okay. Okay. Okay. I’m going to ask Tom a question. Bill, I can ask you this later if no one asks it. Tom, listen, thanks for those examples with customers. Our field work this quarter. We do a lot of it. We picked up on improving demand for modern consolidation and planning solutions, which was really surprising to us. Like you guys have been doing well, but to hear a general statement like that from some people, especially considering the more challenged, quote, new normal that many enterprise software companies have talked about in recent quarters, I guess, can you talk to us about why that might be happening, especially in the context of other, quote, back-office applications more broadly that don’t seem to be high on many enterprise customers’ priority lists when you talk to global SIs?
Tom Shea: Sure. Thanks, John. So, I’ll start off by just providing a little bit of a foundation. I’ll answer this question with three main points. And first to cover off is our core solution, we’re at the heart of providing the capabilities that every Finance team needs. Every time you are on a call talking to a company, they have to produce, that company has to manufacture financial statements with confidence. And so we’re at the heart of that discussion. However, at the same time, when I talk to this, these are transformative decision-making processes. So when you think of large enterprises making a decision to onboard, these are systems and implementations that have to go the right way, they’re critical. But as we’ve talked about in the past, and as I mentioned in 2024 on a lot of the calls, there’s been a realization that you can’t keep kicking the can down the road. You have to keep working to simplify your ecosystem as a CFO and make sure that you have reliable data. And so all in all, for us, we look at that core and are really focused on it. That’s been the foundation of our business. And again, as we talk about forming that bedrock, that high degree of customer success and retention, 98%, that is really, really important and foundational to us and that hasn’t changed from day one. And we’re really looking at growing that core customer base and retaining it as a very, very valuable asset to our business, underpinning number two, our growth model. And when I really think about that growth model, by having that foundation and then being able to show up to those customers, and I think this gets at the heart of the question that you’re asking, is once we’ve established and helped them do the hard work that they have to do, we have the ability to leverage that durable and expanding customer base. And really, if you think about it, we’re talking about lifetime value type of customers. We’re forming relationships that exceed 10 years in many cases. So we’re really, really focused on being that partner, but also showing them that we can adapt with our Marketplace and with our Solution Exchange, and also with our evolving pricing and packaging structure to make sure that we give them more on-ramps and faster on-ramps to get more value out of the platform. So that is really, really an important message and foundation. And then ultimately showing up with, we have an AI portfolio and an AI solution. We actually have a journey for these customers and that’s the focus. But as I was saying, these are large transformative projects that we’re involved in. And we talked about CPM Express and some of the other examples that we gave. That’s about creating faster on-ramps for those customers. The one thing that I would like to say to complete this, so the third thing is that if you think about what I just mentioned, 98% gross retention plus these long-term relationships, they really equal a massive opportunity for us going forward. That’s what underpins my optimism and continuing optimism about the future for OneStream. But another piece that I don’t think that we’ve talked about enough is the amount of raw data and very important information that we are holding for these customers and that we’re, excuse me, curating and developing for these customers. So this financial information is very important. And if we play this out and we think about all the talk and chatter around AI, what’s this going to look like in five years? Customers have to have a unified platform to get the most value out of their investments and out of AI and to actually have the ability to take advantage of it. And so we really feel that we’re building an asset that will help power CFOs’ AI-Driven applications.
Bill Koefoed: Thanks, John. Operator, let’s move to the next question.
Operator: Certainly. And our next question comes from the line of Adam Hotchkiss from Goldman Sachs. Your question, please.
Adam Hotchkiss: Great. Thanks so much for the question. Bill, you talked a little bit about near-term headwinds and I know you mentioned FX a number of times. Could you maybe delineate how much of that comment was meant as an FX comment versus some of these other non-currency headwinds we hear from software companies today, like deal closings and sales cycle elongations? I just want to understand those comments adjusting for some of the currency pieces? Thanks so much.
Bill Koefoed: Yeah. No. Thank you. About 32% of our business is international. And FX, as you know, between September and December 31st, the dollar strengthened about 6%. Candidly, it strengthened a little bit more, as you probably know, into January. But the FX impact, and I mentioned some of our financial metrics, roughly impacted that by about 2%. Operator, let’s go to the next question.
Operator: Certainly. And our next question comes from the line of Chris Quintero from Morgan Stanley. Your question, please.
Chris Quintero: Hey, Tom. Hey, Bill. Thanks for taking the questions here. I wanted to follow up on your comments around the packaging changes. Just curious, kind of more details there, what specific changes you’re making and was there any impact to NRR in the quarter and any expectations of what that can mean for NRR on a go-forward basis?
Tom Shea: Thanks, Chris. So the reason we wanted to bring pricing and packaging, and really in delivery, because you hear us talking about CPM Express, is that we’ve really embarked on a multi-solution, multi-product strategy. As you’ve heard us, we’ve introduced Sensible Machine Learning, Sales Performance Management, ESG. We’ve alluded to this and talked about it throughout 2024 and it really is an evolution in our pricing. This isn’t a reset or a complete redo. It’s about how do we have this durable, understandable package that allows customers to buy these new offerings in a reliable way. And so it’s just all geared towards, and we’ve launched this at our sales kickoff already this year. It’s just it’s geared towards having an efficient mechanism that allows us to bring to market the new innovations that we’ve been working on. So in 2024, I talked a lot about how strong of an innovation year that is and we were pressure testing, if you will, or market testing some of those new products such as CPM Express, SPM. And now those are being operationalized into this pricing and packaging structure for 2025. So we are -- it’s been part of a long-term strategy that we’ve been working towards for a number of years.
Bill Koefoed: Operator, next question, please.
Operator: Certainly. Our next question comes from the line of Mark Murphy from JPMorgan. Your question, please.
Mark Murphy: Thank you very much. I’m curious, what is the rough dollar value of the business that you referenced, Tom, that was forecasted to close but pushed out of Q4? And should we be thinking something like $15 million or $20 million there? And as well, just as a part B on the same question, if the tariffs were one of the headwinds to those deals and caused them to push, why are they closing? I think you said a vast majority of those have closed in January. So why would that be? I mean, what is giving these organizations a feeling that there’s clarity now around tariffs to come in and close the business?
Tom Shea: I’ll start, and then I’ll let Bill follow up on that. So if you think about the pushes that we saw or the headwinds, I think we alluded after the last earnings call. So look, we’re cautiously optimistic about what’s happening in the market or in the geopolitical spectrum, and just in general, in terms of macroeconomic conditions. So we’re not specifically alluding to tariffs, but we’re talking about multinational businesses that see a great deal of uncertainty and governments, which is another significant market, that have uncertainty in spend. And so when you think about that, Mark, those are definite headwinds. And so, again, if you’re looking at deltas in ARR, as you’re alluding to changes in that revenue, you’re really talking about, and I’ll let Bill dive into this in a bit more depth, is you’re really looking at the difference between, there were a strong 2023 Q3 and then, I’m sorry, a weak 2023 Q3 and a strong 2024, 2023, sorry.
Bill Koefoed: There was a weak 2023 Q3.
Tom Shea: Weak 2023 Q3 and a strong 2023 Q4.
Bill Koefoed: Exactly.
Tom Shea: You take those two together, you’re going to bring that delta a lot closer and you’re going to see that it aligns to the numbers, the movement that we have. So we had, again, we had the inverse of that in this quarter or in this year. And so, as you look at that, these are legitimate headwinds. Again, we’re selling large transformational deals and evidence of that is our million dollar deals were up 35% this year. We are selling -- we’re still seeing demand. We’re very excited about the prospect of the business, but there are certainly economic headwinds that we hope clear up.
Bill Koefoed: Yeah. I would just add that, as Tom mentioned, it wasn’t one thing specific to tariffs, just general uncertainty. And generally, Mark, what we saw was, just required an additional signature. It just required -- there wasn’t kind of the urgency to get deals kind of signed by our customers, in some cases with some of these large customers, particularly in Q4 and thankfully we got them done in January and actually the first week of February, including that public sector deal that Tom referenced. So, thanks for the question and appreciate the clarification that we were able to offer. Operator, next question, please.
Operator: Certainly. Our next question comes to the line of Koji Ikeda from Bank of America. Your question, please.
Koji Ikeda: Yeah. Hey, guys. Thanks for taking the question. I wanted to ask -- hey guys, on the growth potential for 2025. And so when I look at kind of your key growth items here, like subs revs and ARR and to an extent total revenue too, I really want to focus on subscription revenue and ARR. And when I look at the deck, I think you could extrapolate that SaaS ARR, that component grew 40% in 2024 and is 80% of total ARR. So really trying to understand some of the puts and takes here for ARR growth -- total ARR growth to accelerate in 2025 off the, it looks like 23% growth for 2024 and subscription revenue to grow high 20%s, if not 30% at the end of the day for 2025? Thank you.
Bill Koefoed: Hey, Koji. No. Thanks for that. Look, I would, I’m going to start by saying, we offered you guidance on total revenue, on margin, et cetera, at the quantitative level. I would say, on the ARR side, a great degree of what we’ve been working on, obviously, is growing net new ARR, which I think you appropriately referenced, but some of the SaaS revenue growth was conversions, and as I mentioned, we’ve been really working hard on that. So as I mentioned on my -- as I mentioned in my remarks, we do expect subscription revenue to grow faster than total revenue, but we don’t offer specific guidance on that number and we’re obviously working really hard to grow subscription revenue as fast as we can. So, no, thanks for that. Operator, next question, please.
Operator: Certainly. Our next question comes to the line of Scott Berg from Needham & Company. Your question, please.
Ian Black: Hi. This is Ian Black on for Scott Berg. How are you guys looking at the federal government opportunity this year, given both spending pressure and the FedRAMP High authorization?
Tom Shea: Thanks, Scott. So, we really look at FedRAMP as a big opportunity still for us, right? We’ve invested long-term for our FedRAMP moderate for quite some time and then recently achieving High. And because we’re an efficiency play, we really feel that we have a strong offering and right to win and continue to offer more value to the government. So, there’s certainly headwinds out there, but that does not change at all our long-term strategy and investment and the potential that we see in that market.
Bill Koefoed: Thank you. Operator, next question, please.
Operator: Certainly. Our next question comes from the line of Alex Zukin from Wolfe Research. Your question, please.
Ivan Yi: Hey, guys. This is Ivan Yi for Alex. Thanks for taking my question. Maybe just in context of the backdrop that you’ve given around geopolitical uncertainty and the macro. Can you calibrate a little bit more on the buying environment, and more importantly, help us understand how has that been taken into account, how much conservatism has been embedded in the guidance? Thank you.
Tom Shea: So I’ll start off and if Bill wants to add any commentary, he can. When we think about the general buying, I think Bill said it well for Q4. We didn’t see any abrupt halts, but we saw a little bit what I would consider in large multinationals and in government, a lack of urgency is maybe the way to think. So I think it reflects some of the uncertainty that multinationals are in particular feeling around trade and around what their own cost profile might look like. And I think you see, we sell to -- we sell, remember, to the CFO who is a pretty sensitive buyer, and so if you’re coming into a CFO in particular, and if there’s a growing sense of uncertainty in their own business, we’re probably going to feel it a little bit first. So I just wanted to kind of point that out. That’s something that’s a reality. So we are giving, we’re offering prudent guidance and feel positive again about our product, our strategy, we’re keeping our heads down and executing our game. So we feel great about all the innovations and the products and the things that we have lined up to bring and deliver to the market this year. So, ultimately, we’re just, we’re just going to focus on our strategy and execution and but also offer some prudent guidance for the things that we can’t control.
Bill Koefoed: Thank you. Operator, next question, please.
Operator: Certainly. Our next question comes from the line of Terry Tillman from Truist Securities. Your question, please?
Terry Tillman: Yeah. Thanks, Tom, Bill and Annie. So my question relates to go-to-market, primarily the Microsoft relationship, both technologically and then go-to-market. And anybody else you could talk about from a go-to-market standpoint that seems like they’re at an inflection point in helping the business? Thank you.
Tom Shea: Thanks, Terry. I’ll take that. So we continue, obviously, to be a really big Microsoft customer and partner. And we’re really thrilled about that relationship and our ability to, as you see, we brought our Power BI, Certified Power BI Connector to market. At the same time, we are seeing that combination as we expand from the core financial and we’re looking to sell a broader solution set in our AI and operational analytics. The Microsoft relationship becomes increasingly important and opportunistic for us there as well. In the sense that you can bring in that CIO connectivity as well. So we have multiple initiatives jointly from a marketing perspective and in that partnership, not only marketing, but technical. And so we’re really leaning into that and Microsoft -- we’re thrilled that Microsoft is as well. And so I would say that’s an important foundational relationship we’re looking to use as a channel multiplier, if you will. And then we’re always investing in our core markets in terms of the GFIs, in terms of the what I can -- what I always refer to as our artisan partners. Those are the product experts that are CPM experts historically. They’re leaning in, as you can see, the partners that have developed solutions on our Solutions Exchange like Infinity SPM, who was also an implementation partner prior to that as well. So you’re seeing more and more as -- again, I alluded to this at the beginning, but I think it’s really worthwhile noting, as we continue to increase this asset of successful customers, and I say asset in the sense that it’s an asset to us and our customers that we’re delivering value to them and they’re remaining a customer and giving us that 98% gross retention. That’s very attractive. That’s what powers the ecosystem and powers opportunity for all of us. So we’re investing in facilitating and leaning in on all of those fronts.
Bill Koefoed: Thanks, Terry. Operator, next question, please.
Operator: Certainly. Our next question comes from the line of Steve Enders from Citi. Your question, please.
Steve Enders: Okay. Great. Thanks for taking the questions here or question here. I guess I wanted to ask on the margin side of it. It looks like that’s maybe coming in a little bit lower as well for the year. So can you just maybe help us think through maybe where incremental investments are coming from or maybe what’s being accounted for on the margin outlook?
Bill Koefoed: Yeah. Hey. Thanks, Steve. I’ll take that one. So a couple of things. One is from a technology perspective, we’ve been migrating people, migrating customers from prior versions of our software to Version 8, which I think we announced a little bit under two years ago, which has driven performance improvements and some efficiency for our customer. That migration, there’s some cost associated with it. We’re also, as Tom mentioned, we’ve got a strong relationship and strong partnership with Microsoft, and we continue to innovate on the platform to drive value for our customers. One of the drivers that Tom talked about before that we’re working through is just the massive amount of data that our customers are seeking to store on the OneStream platform, which is both a huge benefit asset, as Tom talked about, but does have some -- and we think it’s important, obviously, for the long-term success of the company, but does have some gross margin implications. So we’re working through it. We think that, as I mentioned on my remarks, that there’s opportunities to continue to be more efficient, but we want to take advantage of the assets that we think are driving long-term value for our customers and keeping that 98% gross retention that Tom talked about. So great question. Operator, next question.
Operator: Certainly. Our next question comes from the line of Brian Peterson from Raymond James. Your question, please.
Brian Peterson: Hi, guys. Thanks for taking the question. So, Bill, maybe you could update us on the conversion of the customer base. I know that’s going pretty well. Any sense for where we are in terms of customers that are still on older versions and how we should think about that migration through 2025? Thanks, guys.
Bill Koefoed: Yeah. No. Thanks for the question. I did -- as you all had asked for last summer, I did in the slide deck, Brian, give you the number of customers by legacy in here. It’s actually on annual ARR by contract type on Page 7. So you can get a sense. There’s 5% that are still on perpetual. There’s 15% that are on term-based licenses still. And I think one of the questions earlier was the percent that’s on SaaS. So we’re happy that it’s 80% on SaaS, but we still have some work to do to get the conversion so that we’re 100% and we’re going to work on that over the next few years. So I appreciate that. And hopefully, I’ll appreciate the responsiveness that we gave to your question from last summer. Operator, next question.
Operator: Certainly. Our next question comes from the line of Brent Bracelin from Piper Sandler. Your question, please.
Brent Bracelin: Thank you. Good afternoon. Bill, I appreciate the bullish commentary on commercial Finance AI products going into this year, but I wanted to double click on public sector. That seems to be an area a little more uncertainty. What portion of revenue comes from government public sector? Can you remind us that? And are you expecting that to grow, remain flat or actually decline this year given the uncertainty? Thanks.
Bill Koefoed: Yeah. No. Thanks for the question. I mean, we’re super bullish on the opportunity that we have ahead with being FedRAMP High. Tom mentioned this is a multiyear, very significant investment that we made along with the government to get to be FedRAMP High. There’s not that many companies that are actually FedRAMP High. And so we think this unlocks additional opportunity for us within the federal government. Obviously, back to our earlier commentary, there’s uncertainty there, but we do think that OneStream offers efficiency and can really be effective at helping support overall government efficiency there. And so, look, we’re -- as Tom mentioned earlier, we had a public sector win here in early 2025 and we’re going to continue to work hard to play off the advantages that we have with the software and the benefits that we have with our overall offering. But no thanks for that question. Operator, next question.
Operator: Certainly. Our next question comes from the line of Mark Schappel from Loop Capital Markets. Your question, please.
Mark Schappel: Hi. Thank you for taking my question. Bill, I was wondering if you could just discuss the attach rate you’re seeing for your Sensible ML Solutions. Directionally, is it increasing, staying the same?
Bill Koefoed: I’m going to let Tom take that. This is -- he’s excited to answer this one.
Tom Shea: Well, thank you for the question. I will say that, we -- as we look at this, we launched the product over a year ago and we were really pleased with the performance of the business -- of that -- the progression of that business in 2024 as we continue to do market validation. And you can hear from the statistics that we’re collecting. Part of OneStream’s thesis as a business is that every customer has to be a reference and that the products that we bring to market have to do what they say they’re going to do. So eventually, as we look at this and continue to prove those use cases across multiple industries, we’ve got a good sample cycle and we feel that every customer is going to, this is, that’s why we refer to it as a transformative product. Every customer is going to want to use this in some way, shape or form in the long-term. So we’ll keep working on that. And again, I want to just keep reiterating it. That’s why we’re so fanatical about the gross retention. Because if I delight these customers, they stay on our product and we keep innovating, we’re going to have that opportunity to help them become better in their Finance processes and actually more advanced. Once they get their core capabilities done, they ultimately want to be more advanced and use our AI products as well. So I’m excited about the potential of the attach rate for that product. Very excited.
Bill Koefoed: Operator, let’s go to our final question.
Operator: Certainly. Our final question for today then comes from the line of Derrick Wood from TD Cowen. Your question, please.
Jared Jungjohann: Hi, Tom and Bill. This is Jared Jungjohann on for Derrick Wood. On legacy displacement and Greenfield Dale activity, could you provide an update on any changes you’re seeing in the market? Thank you.
Tom Shea: Sorry, in terms of legacy replacement?
Jared Jungjohann: Displacing legacy vendors and then on the Greenfield side as well? Thank you.
Tom Shea: So as we look through this, again, reiterating that we are not seeing any change and sort of that. That is a core market that we go after and we’re continuing to see lots of opportunity as businesses look to rationalize. And you can hear from the examples in my remarks of the number of multiple products that we’re pulling out. And those include, in almost all cases, some shape or form of a legacy product that’s being replaced. And then at the same time, as we talk about CPM Express, what that’s aimed at is a lot of the new Greenfield. That’s aimed at companies that are earlier in their maturity, not necessarily, it doesn’t have as much to do with their size as a business, as much as it has to do with their maturity as a Finance team. And they’re looking for us to be prescriptive, to take what we’ve learned by working with some of the biggest businesses in the world and give them a faster on-ramp with a package solution. What’s really important about that is the idea that you don’t -- it’s a faster on-ramp to our platform, but you don’t have to get off the platform. It’s the same software that if you wanted to go all the way to fortune one. So we’re really excited. We’re covering off on continuing to innovate in summary. We’re continuing to innovate in a way that allows us to be as attractive as ever to the replacement, kind of legacy market and show that value of being able to rationalize and be a single data model with low technical debt. And at the same time, provide an easier on-ramp for newer customers. When I say an easier on-ramp, it’s to help those individuals show them the best way to use a CPM product if they’re new to CPM and get onto our platform. And all that is part of our -- it is and has been part of our long-term growth plan.
Bill Koefoed: So that’s going to wrap up our call. I really appreciate everybody participating. We will be at the Morning Stanley Conference in early March. So please, we hope to see you there. Please obviously reach out to them if you’d like to set up time with us and we appreciate everybody’s support of our company and hope you have a great rest of the week. Thank you.
Operator: Thank you, ladies and gentlemen, for your participation at today’s conference. This does conclude the program. You may now disconnect. Good day.